Operator: Thank you for standing by. This is the conference operator. Welcome to the PowerSchool Third Quarter 2022 Earnings Conference Call. As a reminder, all participants are in listen-only mode. And the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Shane Harrison, Senior Vice President of Investor Relations. Please go ahead.
Shane Harrison: Thank you, operator. Welcome everyone, to PowerSchool's earnings conference call for the third quarter ended September 30, 2022. I wanted to first let you know that we posted a slide deck to the Investor Relations section of our website that accompanies our remarks here. On today's call, we have PowerSchool’s CEO, Hardeep Gulati; and CFO, Eric Shander. Before getting started, I'd like to emphasize that this call, including the Q&A portion, will include statements related to the expected future results for our company, which are therefore forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our earnings release and other SEC filings. Today's remarks will also include references to non-GAAP financial measures. Additional information, including definitions and reconciliations between non-GAAP financial information to the GAAP financial information is provided in the corresponding press release and the results presentation, which are both posted to PowerSchool’s Investor Relations website at investors.powerschool.com. A replay of this call will also be posted to the same website. Let me now turn the call over to Hardeep.
Hardeep Gulati: Thank you, Shane. And thank you, everyone, for taking the time to join us today. Our third quarter was a testament to how well our teams executed on our market-differentiated strategy and business model. We continue to drive strong revenue and ARR growth with the power and the breadth of our comprehensive platform that provides mission-critical solutions for K-12 organizations to help effectively manage their ongoing demand and challenges. As demonstrated this quarter, the significant cross-sell opportunity of our diverse portfolio of market-leading solutions to our captive large installed base allows us to continue to deliver on the top line growth, while our operating leverage is providing a meaningful ramp in profitability. Let me begin on a review of Q3 and on Slide 4 with a summary of our financial results, total revenue reached $162 million for the quarter, coming in line with the guidance we provided last quarter. We continue to see record pipeline that gives us confidence to reaffirm our increased full year revenue guidance from the last quarter. In Q3, we grew our adjusted EBITDA 30% year-over-year and drove meaningful margin expansion reaching 32%. This represents our highest margin since our IPO and exceeds the guidance from the last quarter. Additionally, we are raising further our full year guidance for profitability. Subscription and support revenue grew double-digits year-over-year to $137 million. Our ARR increased 11% year-over-year with strength in our retention, cross-sell and new business. Our consistent performance to market expectations and metrics showcase our compelling differentiated business model to operate in a highly stable and durable K-12 market, largely insulated from the broader macro inflationary and recessionary factors. And also, it's a testament of our diverse, highly predictable revenue streams that are growing materially and with increased profitability. Let me share with you more details on each of our growth vectors that will help us deliver this consistent performance. Slide 5 shows some of the customer successes in the quarter for these different vectors. The third quarter is generally the busiest time for us as it is not only back to school, but it also is a time where administrators and back office staff are starting their new fiscal year. For us, that means the heavy few months of product renewals and as well as system implementation. Our renewal team had a record quarter and our sales and customer success teams drove higher incremental new bookings from existing customer when you compare it to the prior year. Our net revenue retention rate for the 12 months ended September 30 increased 140 basis points to 108.7%, our best sequential improvement since Q2 of 2020. During the quarter, we saw great growth in all aspects of ARR with particular improvement in retention and cross-sell increases year-over-year. Speaking of cross-sell and continued market expansion, we saw broad-based customer booking activities that expand our entire product platform as we grew our wallet share with existing customers and continue to add new logos to our customer base. A great example of that is our large deal at one of the largest online K-12 learning provider, Stride, Inc. They selected PowerSchool for the global student information system and enrollment needs for their online public and private schools and with well over 100,000 enrollments. Already a user of our Naviance and student assessment solution for a small student population, Stride wanted to modernize their homegrown back office system for their entire K-12 online infrastructure. With the expected long-term growth in virtual schooling globally in the coming years with a very large TAM, we are excited to partner with global online companies like Stride to grow this space further. The other key growth factor for us is we have the most comprehensive and diverse portfolio of solutions that provide mission-critical capabilities required for the K-12 education ecosystem. There is no shortage of headlines about the stresses in our education system around feature shortage, learning gaps, attendance shortfalls, social emotional support, equity and data security. Our differentiated platform with 19-plus products is becoming even more essential to help district deal with these challenges and initiatives that span across operations, talent, and classroom. We are seeing continued high demand and growth in our student solution, our insights and MTSS capabilities, talent management and behavior and critical management solutions. Customers of all sizes continue to select our platform as PowerSchool is the only proven vendor that checks all these boxes. A great example of this is our platform win at Plano, Texas Independent School District with over 50,000 students. They were looking to replace their existing SIS for an integrated platform solution. Adding our SIS, enrollment, ERP, data insights products to already their existing implementation of several of our talent products will improve not only their internal operational efficiency but also drive better outcomes for teachers and their students. We are continuing to see balanced demand across our product portfolio. We recorded nearly 500 new logos and cross-sell transactions in the quarter, including several sizable wins for SIS, Unified Insights, Talent, Naviance and Classroom products. Building on our proven success in providing classroom solutions at large districts like L.A. USD, Miami-Dade, Fairfax, we are excited about another large district, Baltimore City with 75,000-plus students selecting Schoology as their LMS solution this quarter. With the addition of Schoology to the PowerSchool Talent and Naviance products at the district, we look forward to exceeding Baltimore City’s expectations and furthering our solutions footprint within their district. As we shared, one of our newest growth vectors is our international expansion. We are seeing similar level of critical need of platform like ours to provide unified comprehensive capabilities to help international, private and even local schools in various geographies around the world. Our dedicated sales initiative in the Middle East started earlier this year and has already shown strong success and proves the opportunity we have able to extend that model to other regions. I’ve decided to share another very strategic platform new win in the UAE at Aldar Education, an Abu Dhabi-based education system that manages several charter and public schools in the region. Aldar’s Blueprint Public School purchased multiple solutions, including SIS and Schoology from PowerSchool to provide an integrated view of their systems, students and operations. Similarly, we gained a new logo for a platform win in Egypt, The International School of Elite Education or ISEE. One of the key aspects that is driving our growth is our scale, proven track record and box experience, which allows us to quickly meet and support the most critical urgent needs the districts might have. We had our most successful back-to-school in terms of customer experience and impact across different aspects of the school operations. 3 million-plus professional development courses taken, 750,000 substitute teacher position field, 1.3 million jobs posted, 46 million-plus formative assessments delivered and 900,000-plus collagen courier assignments completed in the quarter, leveraging our platform. Our top line momentum is very compelling, given we continue to do it while also increasing our profitability. In the third quarter, we exceeded the high end of our guidance range of adjusted EBITDA and continue to expand our adjusted EBITDA margins to levels well ahead of our 2022 targets we communicated at the beginning of the year. I will let Eric go into the more details. But the operational rigors we have applied, coupled with the growing scale we are experiencing, we expect continued expansion in our profitability going forward. Let me also share some very exciting news. Today, we announced Eric’s promotion to President and CFO. In this new expanded role, Eric will assume responsibility of our customer renewals operations. Having successfully built our public company reporting and G&A infrastructure, I’m excited to have Eric bring his scale and growth experience to this critical part of our business. We are also announcing the addition of Tony Kender as our new Chief Revenue Officer. Tony has 30-plus years of expertise in building, scaling and optimizing global sales organization, most recently as CRO at FinancialForce and prior to that, as an SVP and GM at Oracle. We are excited to add him to our exec team and want to thank our current CRO, Craig Greenseid, for his meaningful contribution to PowerSchool and wish him the best as he moves to his new endeavors. We are very happy with the continued business momentum we are seeing heading into the fourth quarter and look forward to finishing the year strong. Our sales pipeline continues to be very strong with 20% growth year-over-year, and sales velocity continues to improve overall. In the funnel, we are seeing a great mix of new customer logos, very large opportunities and abundant cross-sell prospects, many of which we are in the pole position to win. Our confidence is further reinforced by a continued strong funding environment, further supported by 3/4 of ESSER funding still being available for district to spend over the next few years. It is clear that our value proposition and differentiated comprehensive platform are resonating in the market, which puts us in a better position than the niche providers. Let me pass the call over to Eric and detail the financial performance for the quarter. Eric?
Eric Shander: Thank you, Hardeep. Our third quarter performance was outstanding, highlighted by the strong sequential improvement in our annual recurring revenue, net revenue retention and profitability. Our teams continue to execute on the growth strategy by increasing sales to both new and existing customers, while delivering best-in-class customer support and service. We continue to see strong demand across our product portfolio with strength in our SIS, analytics and behavior offerings. At the same time, we’ve been focused on our internal functions by streamlining processes and controlling costs while continuing to invest in new product development, our international expansion, continued product integrations and other key growth initiatives. The financial health of the business has never been better, and we remain confident in the resilience of our end market, the durability of our financial model and the tremendous long-term opportunities ahead of us through international expansion and personalized learning. Now let me dive into the quarterly results with more detail, which you will see on Slide 6. Third quarter revenue was $162.4 million, in line with the guidance range we have provided in the second quarter earnings call, and overall revenue was up 9% year-over-year. Subscription and support revenue, which is our most strategic recurring revenue stream, grew at 10% on a year-over-year basis and accounted for 84.4% of total revenue in the quarter, a 100 basis point improvement over the same time period a year ago. Our services business, which generates revenue through fees related to new product implementations, customization and customer training, delivered revenue of $19.9 million, representing an increase of 8% year-over-year driven by higher implementation, customization and our in-person PowerSchool university training events. Our services revenue came in slightly below our internal expectations driven by a few services projects, and there were a few subscription renewals that were also impacted by Hurricane Ian at the end of the quarter, all of which have already been closed in the fourth quarter. The team helped to drive a successful back-to-school season with over 1,750 new product go-lives that prepared schools and districts for the 2022-2023 school year. We also hosted several PowerSchool university onsite training events that had great attendance. Our consistent dedication to customer success is translating to better retention, higher customer satisfaction, and continued cross-sell momentum. Finally, revenue from license and other, our least strategic and most variable revenue stream representing 3% of total revenue came in at $5.4 million for the quarter, representing a slight decline of $800,000 from the same time period last year as we continued to place more focus on subscription based partner relationships. We ended the third quarter with an annual recurring revenue balance of $585.4 million, representing an 11% increase over the same time period last year. The strong performance was driven by higher cross-sell coupled with continued strong gross retention. Our net revenue retention or NRR came in at 108.7%, representing a sequential improvement of 140 basis points and a year-over-year improvement of 310 basis points. The significant sequential improvement in this key metric was driven primarily by our higher LTM cross-sell as well as strong gross retention coupled with our annual contractual price increases. As a reminder of our business seasonality, the third quarter is typically the quarter in which a significant level of our renewals take place. So seeing such a strong improvement in NRR in the quarter was exciting. We expect this metric to slightly moderate in the fourth quarter. However, we anticipate ending the year around 108%, which is ahead of our expectations and a validation of the value our customers place on the power of our platform. Adjusted gross profit for the quarter came in at $111.1 million with a 68.4% margin, representing a 30 basis point sequential quarterly increase and a 50 basis point year-over-year improvement. The strong performance was driven by our continued focus on cost efficiencies. Now turning to operating expenses. In the third quarter, our non-GAAP research and development expense came in at $22.6 million, representing a 13.9% of revenue compared with 15% in the same time period last year. Including capitalized R&D expenses, total invested in R&D was 21.5% of revenue compared with 21.1% in the same time period last year, highlighting our continued commitment to making investments in market differentiating innovation for our customers. Non-GAAP SG&A expense in the third quarter totaled $37 million, representing 22.8% of revenue compared with 26.3% in Q3 of last year. This 350 basis point improvement and our non-GAAP SG&A margin reflects savings from our facilities consolidation, lower D&O insurance premiums and savings from our various G&A [ph] cost efficiencies driven in the quarter. Third quarter adjusted EBITDA was $52.2 million or 32.2% margin, exceeding the high end of our guidance range for the quarter, representing an increase of 530 basis points from the same time period last year. The third quarter margin was strong and reflects the continued focus we have on driving profitable growth. The margin improvement was driven by the gross margin and operating expense improvements. We will continue to identify additional areas for cost rationalization while still investing in innovation that will fuel our top line growth.  Non-GAAP net income was $0.21 per fully diluted share, which is 40% higher compared to $0.15 last year. Now moving to the balance sheet. We ended the quarter with $108.9 million in cash and equivalents, an increase of 20% over the same time period last year. Cash collections during the seasonally busiest third quarter were strong and our aged account receivable profile is the best ever. In the third quarter, we paid off the $70 million revolver that we drew in the first half of the ear. Net debt leverage at the end of the third quarter was 3.6 times a meaningful improvement over the 4.1 times a year earlier and 4.8 times at the end of Q2. Third quarter free cash flow, a non-GAAP measure was $174.1 million, up 6% from the same time period a year earlier. As I mentioned, we had a very successful renewal season and our collections team did a fantastic job. Now turning to our fourth quarter and full year financial outlook on Slide 6. For the fourth quarter, we expect to deliver total revenue in the range of $161 million to $164 million, representing an 11.2% year-over-year growth at the midpoint. As a reminder, the seasonality of our implementations and training activity, we expect a sequential decline in services revenue in the fourth quarter. For adjusted EBITDA, we expect fourth quarter to finish at $48 million to $51 million, representing a 30.5% margin at the midpoint. For the full year, we’re raising the bottom end of our revenue guidance range while raising the top and bottom of our adjusted EBITDA range. We expect total revenue in the range of $631 million to $634 million for the full year with the midpoint representing a 13.2% year-over-year growth rate. An adjusted EBITDA of $192 million to $195 million, representing a 30.6% adjusted EBITDA margin at the midpoint. For modeling purposes, we expect capital expenditures excluding capitalized software of approximately $5 million and share-based compensation expense of approximately $55 million for the full year. Fully diluted shares by the end of the year are expected to be in the range of 200 million to 205 million shares. Overall, we delivered a fantastic third quarter. As Hardeep stated, we are very pleased with the continued business momentum and our performance, which is ahead of our targets and demonstrating the value that our customers are placing on our mission critical platform. Our teams performed extremely well in driving growth and operational efficiencies. We look forward to finishing the year strong and continued focus on executing our go-to-market operational and investment strategies. This concludes our prepared remarks. Operator, will you please open the line for Q&A?
Operator: Certainly. We’ll now begin the question-and-answer session. [Operator Instructions] Our first question is from Stephen Sheldon with William Blair. Please go ahead.
Stephen Sheldon: Hey, thanks guys. And congrats on the promotional and the new responsibilities to you, Eric.
Eric Shander: Thank you.
Stephen Sheldon: First one to ask, I know and on sales cycles, I guess, curious what you guys have seen in sales cycles with your K-12 customers and knowing that you’re coming out of kind of peak selling season, but I think there’s been some talk of elongation there and school districts being distracted with other issues right now, such as the teacher shortage and a variety of other issues. So have you seen that at all? And you think that could have a bigger impact on sales activities as we think about the next few quarters?
Hardeep Gulati: Stephen, this is Hardeep, again, thank you for the question. We actually not seeing any sales cycle. So as in fact to the contrary, we continue to see sales cycles improving and almost to the level of 25% to 30% improvement over last year. And I think a lot of it is based on the differentiation we have in the market because we are a much more broader platform with almost 19 plus diversified products. If you think about a lot of the challenges these districts are facing today when it comes to talent management and recruiting teachers, keeping teachers, well, they need of talent management solution to help with that. If it’s about learning loss, they need analytics to understand that and address it. If there’s about social emotional, they need our behavior and classroom tools to help engage with the students. So a lot of what we selling is actually mission critical. So it’s actually been being more beneficial to help them address the needs they are having today.
Stephen Sheldon: That’s great to hear. So appreciate that. And then as a follow-up, we’d love to just get some more detail on recent acquisitions and how they’ve been performing, thinking about Kickboard, Kinvolved and the others. Have these solutions been plugged into your existing sales motions and I guess what a financial contributions look like now that you’ve owned both for close to a year. Are you seeing a ramp in uptake in monetization there on your platform?
Hardeep Gulati: We actually do. I think we’ve mentioned that in the prepared remark like behavior, which is the Kickboard actually we are seeing record growth. There is a large deal at Gallup-McKinley school districts where we are actually a tens of thousands of students where we are actually implementing our Kickboard solution. We are almost seeing in every quarter about 15 to 20 deals on these products as we are integrating them into our products and bringing them to our sales motion. Similarly on curriculum, that’s another large deal at Hudson County and few others, almost again on about a dozen plus customers already bought that and we had a pretty successful communication starting of the year and even into this quarter even district like San Diego just are going to start adopting over unified communications. So you can see the momentum is pretty strong if they were install base with each of them. There’s still a small contribution to our overall numbers, but we do expect them to start becoming more material down the road in the next few years.
Eric Shander: Yes, and Stephen and Eric, I would just add on since you asked financially, while we don’t provide any specifics as we’ve spoken to a lot of you, we do have pretty aggressive business cases that we put together in terms of what we want out of these acquisitions. And I can tell you every single one that we’ve done the share while smaller, and as Hardeep mentioned, the contribution is a little bit less. Every single one of them is well ahead of the financial business cases that we originally put together and we really do look for accretion in a pretty short period of time. So we couldn’t be more pleased with the financial benefits we see this year. And then obviously, as we really get them to be integrated more into the platform some of the benefits we’ll see into next year and beyond.
Stephen Sheldon: Got it. Thanks for all the color and congrats on the strong results.
Hardeep Gulati: Thank you.
Eric Shander: Thanks, Stephen.
Operator: The next question is from Brent Thill with Jefferies. Please go ahead.
Unidentified Analyst: Hey guys. This is David on for Brent. Thanks so much for taking the questions. Maybe to kick off, on the issues facing K-12 schools, obviously, the big ones being teacher shortages and learning loss. Just curious, are you seeing customers flock more to your products that help to address some of these issues? And maybe are they driving out size growth, you’re seeing higher adoption there, maybe as like adoption in LMS starts to fade, just any color there would be helpful?
Hardeep Gulati: Yes, sure. David, I think we kind of have been talking about last few quarters. One of our best selling product has been our Unified Insights product, primarily to your point about the learning loss, one of the biggest challenges most of the districts are facing is how do we even know where is the learning loss, how much of the learning loss, which strategies and interventions would actually work? In fact, we talked about launching a new innovation of multitier system of support MTSS. We are already seeing not only Unified Insights growth throughout the year, we’re actually now seeing strong adoption of our MTSS. We have one state deals in this year. We have continued to see extremely well including large districts like Plano, which bought our entire platform, including Unified Insights, Corpus Christi is another great example of these districts. We’re actually adopting these Unified Insights to help them address these learning loss. And I already mentioned about the talent as well. I think when you look at almost working with the districts to help address million jobs of teacher and not just on the recruiting new teachers, but managing almost 750,000 plus substitute teacher over the quarter, we are kind of right in the middle of helping these districts deal with all these challenges and it’s actually creating more level of trust and partnership with these districts. So they’re adopting more of our platform components, including some of our add-ons we talked about.
Unidentified Analyst: Got it. That’s super helpful. Thanks for that. And maybe just the quick follow-up on international. I know you guys provided a little color in the opening remarks and sounds like things are going well and maybe expanding that a little bit further, I guess, high level, your conviction on what international can be for you guys, has that – has it your conviction increased as you’ve kind of put some of the processes in place? And what is a good timeline to think about when international can start to become a material driver of revenue? Thanks.
Hardeep Gulati: Yes. We are already a market leader when it comes to international or schools or American education school across the globe, right? We have presence in 90 countries, pretty much every major American education school across the globe uses us. What we are seeing, especially over the last few years with bringing Schoology and other platforms, we even have country level deployments like country like Uruguay or Philippines, we have 300,000, 400,000 students as well. One of the key motions, what we have been is let’s bring the entire platform to international. And we started with actually boots on ground in Middle East, and what we are seeing is lot of not just international or private schools, we are seeing government schools, charter schools in these countries actually now asking for us not just one product, but they’re actually buying entire platform. What is proving to us is that even internationally, there is nobody else who’s providing this comprehensive platform. And the need by these private and local schools is equally strong, especially coming out of COVID that these different countries are prioritizing the requirement to actually move to a platform. So we are actually seeing fairly good demand, I think, to follow up as we do think that over the next few years, international is going to become mature part of our growth. And we are definitely seeing some very good early signs, especially because there is no strong competition we are seeing either at the private schools or public schools or even at country level deployment. So we are really excited about what it’s going to bring to our growth over the next few years.
Eric Shander: Yes, and David, it’s Eric. I would just add that. As we’ve said before, good news for us is we’ve got the opportunity to continue to drive low double digit organic growth without international. So as Hardeep said, I mean, we’re extremely, extremely bullish around what we see and we’re going to take a very I think thoughtful approach in terms of how we expand internationally. But I do believe over the next few years it will be a fairly material part of the business and the good news is we’re going to do it in I think, a very metered fashion. But what we see in the early indications are extremely positive for us. So super excited about it.
Unidentified Analyst: Awesome. Thank you guys. Really appreciate it.
Hardeep Gulati: Thank you.
Operator: The next question is from Gabriela Borges with Goldman Sachs. Please go ahead.
Unidentified Analyst: Hi, this is Kelly on for Gabriela. Thank you for taking my question. First one is just where is Schoology continuing to gain share? Are you seeing any changes in the competitive landscape and any noticeable trends in the types of deals you’re seeing?
Hardeep Gulati: Yes, we actually still are – when you look at our win rates, they have been pretty consistent at par with the competitors. Especially, we have one large competitor. We are kind of very similar to both in terms of win rate as well as market share. When you look at in terms of number of students. Take example, some of our large deployments at LA and Miami, that’s million student between those two itself. So when you factor this number of students, we are at Baltimore City when I shared is actually a great testament of a large district going through an RFP process and actually selecting us. They don’t even use over asides, but they do use platform components like Navion and Talent, which actually came into important part of their decision making. So we really continue to see the fact that not only our CIS, but our market share in other areas like talent, like professional learning, like classroom broadly is going to further help our competitive win rates in this. But right now we are continue to win at par with the market. As we’ve shared in the past, during the COVID, we almost saw 4 million to 5 million students almost getting per year. Now we are kind of back to what we have seen pre COVID levels about 1 million to 2 million students is what we are expecting, we are at par with that.
Unidentified Analyst: Great, thank you. And then just as a follow-up, what are customers telling you are the biggest gaps in their portfolio? And how can you share with us those discussions are informing your organic product roadmap and your M&A priorities?
Hardeep Gulati: A lot of the stuff, what we are seeing it has been the things which we have addressed with our products. I think if you’ll see our, both of our checking acquisitions around curriculum on messaging and attendance intervention around social emotional have been directly based on the feedback from our customers. Our some of the innovation on MTSS, which helps them manage interventions across all these different areas. Our Connected Intelligence, which let’s [ph] them not just connect their data sitting in PowerSchool, but bring data from an external system including partnering with their communities to bring almost a full longitudinal view. We're actually seeing very strong demand on that, and that's directly based on what we are seeing market. There is a broader, again, more adoption of platform rather than looking at individual products. And that's why you see a tons of product innovation, and what you're seeing a demand is across not just one product, but actually looking at how to platform so they are not having to connect all this data, and they're not having to deal with data security issues around that. And we're – that's where our innovations are very differentiated.
Unidentified Analyst: Thank you. Congrats on the quarter.
Operator: The next question is from Matt Hedberg with RBC Capital Markets. Please go ahead.
Matt Hedberg: Great. Thanks for taking my questions and congrats, Eric as well from us, well-deserved. Eric, I know you don't guide to ARR, but I know you provided a little bit of context historically. The last few years, you've added, I think, maybe $10 million to $15 million of net ARR into Q4. Is there anything different about this year's seasonality wise from an ARR perspective?
Eric Shander: Yes. I mean, Matt, it's a good question, and I always appreciate the opportunity to address the seasonality. I think as everybody hopefully knows, I mean Q3 is our largest renewal period. So certainly, a lot of activity that happens from a renewals perspective, which our net ARR in a Q3 basis, we were really, really pleased with adding about $5 million in net new ARR this quarter. What I would say is while we don't guide on it, one of the things that we're seeing from a PowerSchool perspective is that as our deals are getting larger, as we're becoming much more strategic with our customers, deals are getting larger. And you can have the opportunity from any one deal, large deal getting closed in any one particular quarter, which certainly can cause a little bit of variability from an ARR perspective. So what I would just offer for Q4, I think, similar trending. If you were to kind of look at where we finished and I'll say modestly assume around, let's say, $8 million to $10 million increase of net new ARR from this quarter, I think that's probably a pretty good assumption. And I guess, obviously, any one big deal can certainly sway that. What I would tell you is as we look at the pipeline, as we look at the amount of larger deals that we have over the next several quarters, we couldn't be more optimistic in terms of just seeing that momentum continuing. Now will they all happen in the fourth quarter? Probably not. But over the next several quarters, we do see a line of sight to a lot of larger deals. So just look for us to continue to kind of update in terms of the large deal volume. But I would just say, assuming $8 million to $10 million is probably a decent assumption as we go from where we ended into the fourth quarter.
Matt Hedberg: Super helpful, Eric. That's actually a really nice dovetail for – a question for Hardeep. I think it really builds on the strength of the quarter. But the 20% pipeline growth, I mean that was – that certainly stood out to us as well. I know you cited new logos, cross-sell a number of things that are driving that pipeline build. But is there one thing that stood out to you this year versus next year? I mean is it – I don't know. Is it the funding? Is it just better appreciation? Just maybe what do you think drove that sort of strong pipeline growth this quarter?
Hardeep Gulati: Great question, Matt. So a couple of things. One is I think the key point here, what I'm reiterating is the diversity of our platform, right. We have such a broad areas that we support the critical needs the districts have. And as you see that all in the news, the districts coming out of COVID are definitely struggling, but at the same time, prioritizing. And especially with a sound funding environment, they're making these transformation across the different aspects of their operation talent to be a priority. And that's definitely – the demand is definitely healthy, which is driving a pipeline. If I have to call out any additional factors, while there is a balanced growth across most of our products, I would say that we do have some very strong large deals in the pipeline, which is also driving the growth percentage. We, in fact, have line of sight where we have been either a letter of intent or kind of our deal to lose an almost $20 million plus of business over the next few quarters with some couple of large deals as well. So that definitely is, again, very refreshing and welcoming that not only are we delivering on strong quarters, we have a good visibility for the next few quarters of some of the large wins, too, which adds to our confidence of what we are sharing with you on our guidance.
Matt Hedberg: Thanks a lot, guys. Congrats again.
Hardeep Gulati: Thank you.
Eric Shander: Thanks Matt.
Operator: The next question is from Fred Havemeyer with Macquarie. Please go ahead.
Fred Havemeyer: Hi, thank you. And I think I'll reiterate the sentiment on the call here and say congratulations on a strong third quarter. I think on that strength, I wanted to ask about – firstly, Eric, also congratulations on your promotion, and this question is in line with that. But it looks like 108.7% net retention rate looks like a new high watermark for PowerSchool as a public company. I wanted to ask really specifically, actually, Eric, as you assume more customer success and customer renewal roles with your promotion here, what do you think that PowerSchool could potentially do here to continue progressing this NRR? And do you see opportunity for it to continue moving up?
Eric Shander: Yes. So first, thanks, Fred. Appreciate it. Yes, so we do. And in fact, we are really pleased with the third quarter where we ended. Just as I said, just to kind of make sure we're all aligned with where we think we'll end the year. We'll end the year in the 108% range, which is ahead of our expectations and really just demonstrates the continued momentum we see within the existing customers. Specific to the renewal opportunity, look, I think we've got an opportunity to really leverage that team more as we kind of look at driving the value of the platform across our existing platform and really make sure that our customers see the value of the platform, not just one or two or three of the products, but really what is the value that we can drive from an overall standpoint. And any time we touch the customer, certainly a renewal opportunity is a perfect opportunity to really have that discussion and engagement with the customers around other products that may make sense for a particular customer. So I do see that we've got upward potential. Certainly, well beyond where we'll finish this year. And as we kind of get into next year, we'll certainly update everybody in terms of what our future thinking is. But clearly, we're really thrilled with the third quarter performance, and we'll end the year above our expectations.
Fred Havemeyer: Thank you for that. And then perhaps for Hardeep. I was interested in your description of – I think it was Baltimore adding Schoology, expanding some of their purchasing of the platform. It sounded like, I think you said Talent and Naviance. It sounded like it was potentially a win that was leveraging some of your solutions outside of SIS. And please correct me if I'm wrong, but I wanted to ask more broadly about also just the opportunity to find more areas for PowerSchools to be pulled in and the platforms you pulled in among some of those schools that may have been adopters of some of your potentially smaller ARR as a proportion of your total ARR products and potentially even some of your recent acquisitions. It sounds like the cross-sell was very strong. I was interested in that one in particular.
Hardeep Gulati: Yes, Fred, it's actually you're making a very good point. If you look at most of our large wins I actually shared, they're all actually coming from a non-cross-sell. So take examples. Try, we had a relationship on there with them on Naviance and some of our assessment with a few of their students. And they've made a selection not just to expand the relationship into their full student information system across a few hundred thousand students, which they support online direct part time and full time, but they also adopted enrollment and some of the other capabilities. Plano is another good example. They started from Talent and then expanded the relationship into a full platform on SIS, ERP, classroom and Talent. Baltimore City is another great example. They're not using our SIS but adopting our Schoology because they all relationship. The point we – I think what we're trying to make here is that the beauty of the platform of how – whether you are in the operations or in the classroom or Talent, these things need to work together. And whether you're doing a professional learning for training, you want to make sure that's in line with your classroom learning management. When you're doing an assessment, you want to make sure that's in line with your broader SIS, student and special ed. All these pieces really work together, and we are the only vendor which actually brings all these together, and that's what's clearly resonating with our customers.
Fred Havemeyer: Thank you. Congratulations on the quarter.
Hardeep Gulati: Thanks Fred.
Operator: The next question is from Saket Kalia with Barclays. Please go ahead.
Saket Kalia: Okay, great, hey guys. Thanks for taking my questions here and echo my congrats on the quarter. Maybe just to start with you, I actually love to dig into the Middle East market a little bit more. That's been an early success in international. You mentioned boots on the ground, several deals, I think, that have been mentioned over the last couple of few quarters. I guess the question is, how do you think about that market opportunity, whether that's from a dollars perspective or students perspective? And what are you seeing there competitively? I know that you said that no one really has the breadth of the platform, but maybe you could just go one level deeper into that market opportunity and sort of the competitive landscape.
Hardeep Gulati: Sure, Saket. We mentioned in the past maybe that we have about a few hundred thousand students already in the Middle East on American education schools and as well as some very large private schools as well, the likes of ESOL and GEMS and all. What we have seen is that as we've started taking and putting a little bit more direct, we brought in a VP of International sales based out of Dubai and now we are building a team to actually cover the broader, call it, greater almost seven countries, right, we are seeing that the opportunity to almost 52 million-plus students. That is of a TAM we can go after. And we are not only seeing demand in just one or two areas with our student system or through our learning management. We are seeing the demand for even things like behavior management, messaging and analytics actually to be equally strong. So the likes of some of the deals we've been sharing with Maris in Saudi Arabia or in Aldar in UAE or in Egypt with ISEE, you're seeing that their platform buys, and that's the exciting part. So we do expect this to be for us to be able to get a few hundred thousand students, if not a million-plus students just into the next year and then really growing pretty strong from there with the TAM almost a 50 million-plus student that we think is addressable by us.
Saket Kalia: Got it. That's actually – that's super helpful, and maybe a good dovetail into the next question. You mentioned having boots on the ground and international VP there. Maybe just to zoom out a little bit. It was great to see, I think, a new CRO announced today as well. Again, understanding that it's early, what are some of the things that you're hoping from this position, which I believe is new? And correct me there if I'm wrong.
Hardeep Gulati: Yes. No, we actually – one of the opportunities we are looking at really is the international expansion, and having more not just Middle East as one of the things, but actually expanding similarly more international capabilities across other geographies where we are similarly seeing some inbounds and good demand. And we are definitely – we have a very strong sales team. I always say that we have the best sales team, not just in terms of coverage, but actually in terms of the partnership because we have expertise around different areas. And being able to really leverage some of the experience of our new CRO, which – who came from Oracle and has built global FCM brand for Oracle, we’re really excited about how that would help us translate this into a global brand.
Saket Kalia: Very helpful. Thanks guys.
Hardeep Gulati: Thank you.
Operator: The next question is from Koji Ikeda with BofA Securities. Please go ahead.
Koji Ikeda: Hey, Hardeep, hey, Eric. Eric, congrats on the new promotion here for President, congratulations on that. I wanted to ask you guys a question, thinking about the low double-digit organic growth comment that you had earlier. And in context to the product wheel that you guys have, think about the unified classroom, administration, talent, communities and home. Could you help us maybe understand as we think about the growth algorithm over the next year to 1.5 years of which one of these five parts of this wheel are you most excited about or maybe could contribute the most to the growth algorithm over the next 12 months?
Hardeep Gulati: Sure. Koji, let me take that and if Eric has – wants to add something, I’ll ask him to jump in. Koji, if you think of where the biggest part of the business of our student solution. And while we’re – in the pandemic, we have talked about that we were recording high single-digit growth, we’re actually seeing it to be almost double digit even post-pandemic with transformation opportunity with a very large, not just deals like Stride, but territory or country level options as well that exists out there. So that gives us a very strong confidence. We kind of shared bringing one of the fourth large district in Canada here this year with Peel. So these are momentum, which makes us very confident about the entire student solution. I think there’s a lot of antiquated systems out there. And as districts have gone through the COVID, they know that they need an upgrade. They are dealing with a lot of data security aspects and integration issues as well. Districts who have integrated systems, their insurances are going higher because if they are not able to provide the right secure and solutions, and these districts are making a priority to actually upgrade their back-end systems. So we are kind of in a very strong position to leverage that. Our classroom continues to be double-digit growth. It had seen good growth over the COVID and pre-COVID and even post-COVID with all these different components, as you mentioned, it’s just not LMS, it’s assessment, it’s behavior, it’s special ed, it’s Naviance brought in so that we are excited about that combination. Nobody else offers that breadth. And then our talent management, definitely post-COVID there has been a big demand on that. We’ve seen some state-level opportunities we shared year-to-date. We have been growing double digit on that as well. So those are good signs that we think we’re going to continue to partner with these districts. Insight is one of the biggest growth areas. That’s where we are seeing huge growth, and we expect that to really continue, especially with the innovations we are bringing in. I think we are in a very unique position. There’s nobody else who can really match with providing such a comprehensive analytics to not just districts, but even state level. So we are in a very fortunate position to be partnering with districts on that.
Koji Ikeda: Got it, Hardeep. Thanks for that. And just one follow-up for me is so you mentioned 20% pipeline growth, which is fantastic. But as we head into 2023 into a potential recession, how should we be thinking about if it becomes harder to close deals managing – maybe investing more to close deals versus letting the growth moderate and maybe seeing a little bit more margin, how should we be thinking about that growth versus profits kind of equation in a slowing – a potentially slowing demand environment?
Hardeep Gulati: I think one of the things we’ve been saying is the K-12, the base funding environment is largely insulated from the recession aspects as well for the funding is fairly stable if you’ve seen the last 30 years of K-12 funding. IT is a very small portion of that, and typically, even more important as they deal with the broader aspects of their organization. Ester Money, which is almost – it’s still $140 billion plus, which they have lot of it needs to tie to also proving that these funding is working. So some of the demands on the IT is healthy part of that equation as well. So we also see that to be. So we’re not really expecting any of this. And I think that’s demonstrated, as we were mentioning, our sales velocity or sales cycles actually are decreasing. Sales velocity continues to improve. So we’re not expecting that. But to your point, we’re always looking at profitability growth as well. We don’t really push for growth as much as to make sure there’s a balanced sustainable growth, which comes with profitability. And a lot of time, we are walking away from the deals which are not profitable.
Eric Shander: Yes. I mean, Koji, it’s Eric. I would just add. I mean we’ve said this before, kind of given our PE heritage, right? We want both. We want top line growth, but we also want to add a profit. And given the fact that we are running mission-critical systems, it’s not like a lot of the districts have option to be able to trading the systems out. So we feel extremely bullish as we kind of head into next year, and we look forward to finishing the year strong and then certainly demonstrating the guidance that we’re going to showcase next quarter for full year 2023.
Koji Ikeda: Thanks, guys. Thanks so much for taking the questions.
Hardeep Gulati: Thanks, Koji.
Eric Shander: Thanks, Koji.
Operator: The next question is from Brian Peterson with Raymond James. Please go ahead.
Brian Peterson: Thanks gentlemen and congrats on the quarter. And Eric, congrats as well, very well-deserved. So I wanted to follow up on the last question, actually, and I think it’s pretty clear in this quarter that the cross-sell momentum is pretty strong. I’d actually love to understand maybe the sales cycles for some of those. And have they come in a little bit quicker than expected? Because we keep hearing about some of the needs for these districts and the problems you’re solving. Are they actually coming to you in buying in a lot shorter sales cycle than you’ve seen in the past?
Hardeep Gulati: Brian based on the data we look through across all our products, that is to be the case that our sales cycle has actually improved, not just year-over-year by almost 25%, 30%. Even quarter-over-quarter, it seems to be improving and healthy. But one of the key things, I think just to again call out is that a lot of times, I think the differentiation we have is the diversity of our platform. So – and we’re not – kind of compared to niche vendors or dependent on just one particular product and how that sales cycles might change, we’re not overly exposed to that. And that’s what’s exciting about us is that there might be times where one product might have a lesser demand based on the seasonality or what’s happening in the market, but the beauty is we don’t get exposed like other vendors for that. There is no other public or private comp for the full platform that we provide, and that’s what’s – that’s why we are going to always maintain a good, healthy growth, sustainable growth. That is unique because we are able to address all the different elements that the districts might be focused on, and we are able to provide the right solution what they need. And certain parts of the country are focusing on curricular management or assessment. Certain other parts of the country are focusing on putting more on communication or digital learning. So we are able to really support depending upon whatever the key priority is.
Brian Peterson: Understood. And maybe just a follow-up on budgets. And I know we don’t have a crystal ball for next year, but it’s interesting when a lot of the spending decisions are being made in kind of the sales cycle that we just went through. As you’re looking ahead to next year, are there any things that you think get more emphasis? Or any thoughts on how the IT budgets would look overall? Would love to get any color on that? Thanks guys.
Hardeep Gulati: Sure, Brian. I think I’ve kind of mentioned a few times, and I can reiterate, analytics definitely is a big focus area for a lot of districts across the nation and even globally because a lot of the understanding of learning costs, what you need to do, how you’re spending your SM money and whether it’s providing the right recovery on the learning costs, all that is tied to understanding where the students are, how do you provide the right interventions and how do you address it. And we’re in a unique position because we are the only analytics provider which not only brings student data but assessment data, their learning data, their talent data to be able to help them understand by the – not just what the learning loss is, but actually what to do about it, what intervention strategies are going to work to help the students so that you’re actually making the right effect. So definitely, we are seeing good visibility, including multimillion dollar deals at state level, large district levels on analytics, where we are seeing a tremendous growth path. We see the rest of the pipeline, again, fairly healthy, but the other one I called out is that even the student information system, we do see a lot of stronger demand on SIS as well as districts are dealing with security issues and they’re realizing that their current back-office systems or how they’re integrating all these systems to their SIS is broken, has security holes. And you’ve seen some of the large districts come under a lot of scrutiny on that. And that’s where, again, we’re in a unique position, which is a wake-up call for a lot of districts who are actually getting hit with higher insurances as well unless they upgrade their IT environments to handle that. So those two areas is definitely the high demand, and then pretty much the talent management in some of the areas we talked about are still seem to be doing well.
Brian Peterson: Thanks, Hardeep.
Hardeep Gulati: Great. I know we are on top of our call, so I’ll just close it quickly. I really appreciate everybody dialing in to share – giving us an opportunity to share some of the highlights for this quarter. As reflected in our results and strong results and guidance, you all hopefully clearly see the unique position we are in to help address some of the most critical current needs k-12 markets are facing with, thanks to a diversified, differentiated unified platform. And as we continue to see improvements in sales velocity as well as a good pipeline, we do believe that our top line momentum is not only strong, but also given our operating leverage, we can continue to drive very strong profitability and create more value for our stakeholders. I do want to thank over 3,000 employees as well as almost our 15,000-plus customers and partners in helping us not only deliver these results, but actually being – partnering with us to make a significant positive impact to millions of teachers and students. So thank you for taking the time to join us today.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.